Operator: Good morning, ladies and gentlemen, and welcome to the Hilltop Holdings, Second Quarter 2023 Earnings Conference Call and webcast. At this time all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Friday, July 21, 2023.  I would now like to turn the conference over to Erik Yohe, Executive Vice President of Hilltop Holdings. Please go ahead.
Erik Yohe: Thank you. Before we get started, please note that certain statements during today’s presentation that are not statements of historical fact, including statements concerning such items as our outlook, business strategy, future plans, financial condition, allowance for credit losses, liquidity and sources of funding, the impact and potential impacts of inflation, stock repurchases and dividends and impacts of interest rate changes, as well as such other items referenced in the preface of our presentation are forward-looking statements. These statements are based on management’s current expectations concerning future events that by their nature are subject to risks and uncertainties. Our actual results, capital, liquidity and financial condition may differ materially from these statements due to a variety of factors, including the precautionary statements referenced in our presentation and those included in our most recent annual and quarterly reports filed with the SEC. Please note that the information presented is preliminary and based upon data available at this time. Except to the extent required by law, we expressly disclaim any obligation to update earlier statements as a result of new information.  Additionally, this presentation includes certain non-GAAP measures, including tangible common equity and tangible book value per share. A reconciliation of these measures to the nearest GAAP measure may be found in the appendix to this presentation, which is posted on our website at ir.Hilltop-holdings.com. With that, I’d like to now turn the presentation over to Jeremy Ford, President and CEO.
Jeremy Ford: Thank you, Erik, and good morning. For the second quarter, Hilltop reported net income of $18 million or $0.28 per diluted share. Return on average assets for the period was 0.5% and return on average equity was 3.5%.  Hilltop's operating results reflect the challenging market conditions in our mortgage origination and banking segments, offset by profitability growth in our broker dealer segment. We continue to prioritize the strength of our balance sheet by building on our robust capital and liquidity positions. And we remain confident in our ability to continue serving our valued clients through various business and interest rate cycles with our synergistic and durable business model.  During the quarter, PlainsCapital Bank generated $40 million of pretax income on $13.8 billion of assets, representing a return on average assets of 0.9%. Average loans at the bank increased by $172 million in the quarter or approximately 9% annualized, as core bank commercial loans, mortgage warehouse loans and retained mortgage balances increased.  Growth was strong this quarter as a result of the great work by our bankers over the past year. But we now expect loan growth to slow given the declining pipelines we have realized over the last few months. So our credit standards are largely unchanged, the market is still competitive and clients, particularly in commercial real estate are pulling back as elevated rates diminish the economics of many projects.  Regarding deposits, we continue to take actions to ensure the bank maintains financial flexibility, while also being mindful of margin impact. During the quarter we increase broker deposits at the bank by $390 million and continue to access $1.5 billion of core deposits from Hilltop Securities, FDIC suite program.  This is an increase of approximately $500 million from the amount that we have historically accessed from the program. Given the heightened competition in the market for deposits, we were aggressive with deposit rate increases in the quarter to retrain and attract customers. We believe our deposit rates are now competitive, though still expect our cost of deposits to moderately increase throughout the second half of 2023.  While our deposit rates have stabilized, as expected these actions have led to net interest margin compression. The banks results were also impacted by a provision for credit losses of $14.9 million. This provision was driven by a combination of factors, including deterioration and the overall commercial real estate outlook, negative credit migration, particularly in the office portfolio and loan growth.  Although we have built up our allowance, we have still yet to realize any notable charge offs. Overall, our bank continues to operate at a high level and produce solid results, despite an income depression [ph] from deposit competition and elevated provisioning given expectations of credit normalization. Our team of seasoned bankers and tenured leadership are working hard to ensure that the bank maintains the flexibility to still lend a strong credit and long-standing relationships in the current market.  Moving to PrimeLending. The second quarter was another challenging period for the mortgage business. The spring home buying season did not materialize on account of low-housing inventory and high-home prices coupled with high mortgage rates, which are adversely impacting home buyer affordability and confidence.  In addition to sidelining many prospective home buyers, higher rates further reinforced inventory constraints, and low refinance volume due to the rate lock-in effect caused by having so many current mortgages for the sub-4% mortgage rate.  PrimeLending originated $2.5 million in volume, a decline of 36% from the same period prior year, roughly in line with the overall industry volume projections of 32%. Of this originated volume, only 6% was refinanced volume compared to 12% during the second quarter of last year. This reduction in refinance volume can be attributed to the previously mentioned rate lock-in effect that will continue to have a significant impact on volumes until rates decline.  We did see some relief in gain-on-sale margins during the period. As reported, gain-on-sale margins increased from Q1, 2023 by 15 basis points to 201 basis points. While this is still lower than the same period prior year, it is an encouraging sign of some stabilization in the market.  Given the difficulty of projecting future market size due to inventory levels, interest rates and prolonged industry excess capacity, PrimeLending continues to resize the business and correspondingly reduce its expense base. This includes actions such as non-sale headcount reductions, consolidation of unprofitable branches, termination of underperforming originators, and renegotiation of leases and vendor contracts. Additionally, we continue to recruit loan originators and take advantage of some opportunities in areas where other firms have exited, by recruiting experienced originators with strong relationships. We also remain focused on improving efficiencies and lowering costs associated with the overall loan fulfillment process. We believe that the arduous, resizing, recruiting, and process improvement efforts by the PrimeLending team are going to be a substantial tailwind for us when the market does recover.  Hilltop Securities realized pretext income of $19 million, on net revenues of $113 million during the second quarter. Pretax profit and margins improved compared to last year's second quarter due to a 13% increase in net revenues and a lower compensation ratio of 58% compared to 64% in Q2, 2022.  The revenue improvement over the second quarter of 2022 was primarily related to the wealth management business, where money market and FDIC sweep accounts revenues benefited from the higher short-term interest rates, despite weaker transactional production.  After a difficult start last year, Hilltop Security has performed well over the last 12 months with nearly all business lines generating revenue growth. I believe this demonstrates the resilience of its established business lines, enhancements made to the firm and the quality of its people. Moving to page four. Hilltop maintains strong capital levels with a common equity Tier 1 capital ratio of 17.6% and our tangible book value per share increased from Q2, 2022 by $0.37 to $27.45.  In summary, Hilltop's profitability has been challenged the first half of the year from the macroeconomic environment. And we do expect interest rates to remain elevated, so we will continue to be conservative in our approach. However, we also believe that our demonstrated focus on balance sheet strength and capital preservation will provide opportunities for long-term growth.  With that, I will now turn the presentation over to Will to discuss the financials. 
William Furr: Thank you, Jeremy. I'll start on page five. As Jeremy discussed, for the second quarter of 2023, Hilltop reported consolidated income attributable to common stockholders of $18 million, equating to $0.28 per diluted share. During the quarter, year-over-year, net interest income growth was offset by the ongoing headwinds in the mortgage business, increasing cost of deposits and higher provision expense.  To further address the change in allowance, I’m turning to page six. Hilltop’s allowance for credit losses increased during the quarter by $12 million to $109 million. Detrition in the macroeconomic outlook, coupled with the impact of loan growth and collective portfolio changes resulted in allowance build for the quarter.  Allowance for credit losses of $109 million, builds in ACL to total loans, a HFI ratio of 1.31% as of June 30, 2023. As we’ve seen over time, ACL can be modeled as it is impacted by economic assumptions, as well as changes in the mix and make-up of the credit portfolio.  We continue to believe that the allowance for credit losses could be volatile, and the future changes in the allowance to be driven by net loan growth in the portfolio, credit migration trends and changes to the macroeconomic outlook over time. Given the current uncertainties regarding inflation, interest rates, the future outlook for GDP growth and unemployment, volatility could be heightened over the coming quarters.  I'm moving to page seven. For the quarter, we wanted to provide a little more detail in our CRE portfolio, the allowance distribution across some of our key loan segments. For June 30, the CRE portfolio, totaled $3.3 billion, which we segregated in the owner and not owner-occupied or investor real estate.  Internally, we view owner-occupied real estate and more like C&I lending, just for the most part repayment is driven by the operating business that owns the real estate. Non owner-occupied real estate makes up 57% of the CRE book, and as is noted in the upper right hand chart is diversified across multiple income-producing property types.  In the table in the lower left, we provide a breakout of non-owner-occupied office, and retail within the portfolio to highlight the differentiation in ACL coverage by loans segment high. Our view today is that the office and retail markets across our footprint represent the highest exposure to both recession, absorption and valuation risk in the portfolio. As such, you can see that those loan segments maintain larger ACL coverage ratios and other non-owner-occupied real estate products.  We are currently monitoring the entire portfolio closely and have not seen any systemic risk emerge as of the second quarter. That said, we do expect that the ongoing cash flow challenges facing existing and new projects, given by higher interest rates, and ongoing inflation, could lead to further credit migration over time.  Turn into page eight. Net interest income in the second quarter equated to $118 million, including $3.3 million of purchased accounting accretion. Versus the prior year second quarter, net interest income increased by $6 million or 6%, primarily driven by higher yields on loans, securities and cash balances. These benefits were largely offset by higher rates on deposits and variable rate borrowers.  As we expected, net interest margin declined versus the first quarter of 2023 by 25 basis points to 303 basis points. Of note, approximately 14 basis points of this change can be attributed to our outside cash levels or by the average cash balance in the quarter, was approximately $1.8 billion. Our current outlook reflects a scenario where our fed funds moves to between 525 and 575 by the end of the third quarter of 2023 and remains stable for the balance of the year. Further rating increases, coupled with ongoing deposit competition could cause NII and NIM to decline further during the third and fourth quarter.  Turning to page nine. In the chart we highlight the approximately $7 billion of the available liquidity sources that Hilltop maintained as of June 30. While we consider the Federal Reserve's discount window to be a source of liquidity, we do not plan to leverage that program under our internal liquidity modeling efforts, and as such it is noted below our other collateralized borrowing sources.  Further, comparable liquidity sources as of December 31 equated to just over $7 billion and remained relatively stable throughout the first half of the year. As is shown in the chart, at June 30, Hilltop maintained $1.4 billion of excess reserves at the Federal Reserve.  Given the stabilization in the banking sector over the last weeks and months, we are revising our cash target lower to between $750 and $1.5 billion at the Federal Reserve. We expect to maintain these levels throughout the year-end.  Additionally, in the bottom left chart, we provided some detail in the pace of deposit beta changes today, and note our expectations for future changes and interest-bearing deposit rates under the view that the Federal Reserve continues to move short-term rates higher. Moving to page 10, second quarter average total deposits are approximately $11.3 billion, and have increased by approximately $300 million or 3% versus the first quarter of 2023. On an ending balance basis, deposits increased by $67 million to $11.2 billion from the prior quarter.  Of note, approximately $370 million of customer deposits remain off balance sheet in our wealth management business at PlainsCapital. A large majority of these balance balances are in products that will mature by year-end, and we're working diligently to get them to move back on balance sheet at competitive rates for our clients.  As a result of our ongoing pricing efforts, interest bearing deposit costs rose to 284 basis points, an increase of 83 basis points from the prior quarter. It is our expectation that interest bearing deposit costs will move higher for the balance of 2023 given our stated views on the path of potential rate increase from the Federal Reserve and the updates we made to our pricing approach.  As it relates to the deposit balances and costs, we remain focused on balancing our competitive position with our long-term customer relationships, while we continue to focus on prudent manage of net interest over time. However, the current environment remains challenging and as noted earlier, we expect the intensity of competition for deposits will continue to pressure rate higher in the short and medium terms.  Now, moving to Page 11. Total non-interest income for the second quarter of 2023 equated to $191 million. Second quarter mortgage related income and fees decreased by $50 million versus the second quarter of ’22, driven by the ongoing challenges in mortgage banking by the combination of higher interest rates, home price inflation, limited housing supply and ongoing over capacity in terms of mortgage originators across the U.S. that’s driven volumes and margins materially lower. Further, versus the prior year, second quarter purchased mortgage volumes decreased by $1 billion or 31% and refinance volumes decreased by $316 million or 68%.  During the second quarter of ‘23 gain-on-sale margins showed further signs of stabilization, with gain-on-sale margin for loans sold to third parties increasing 14 basis points to 207 basis points. While gain-on-sale margins remained pressured, we are pleased to see a very modest rebound during the court. We expect that a full recovery in margins will occur slowly and likely will not be a straight line as industry capacity and other constraints remain.  Other income increased by $6 million, driven primarily by improved trading activity in our fixed income businesses at Hilltop Securities. Further, while TBA Lock volumes increased substantially from the second quarter of ‘22 levels to $1.6 billion during the second quarter of ’23, structured finance revenues remains stable as this quarter the result included a negative $8.1 million mark on the pipeline and the prior year results reflected a modest positive mark in the period.  As we've noted in the past, it's important to recognize that both fixed income services and structured finance businesses at Hilltop Securities can be volatile from period-to-period. They are impacted by interest rates, overall market liquidity, volatility and production trends.  Turning to Page 12. Non-interest expenses decreased from the same period in the prior year by $31 million to $267 million. The decrease in the expenses versus the prior year's second quarter was driven by decreases in variable compensation or approximately $23 million at PrimeLending and Hilltop Securities, which was linked to lower fee revenue generation in the quarter compared to the same period in the prior year.  Looking forward, we expect expenses of the variable compensation remain relatively stable as the ongoing focused efforts related to streamlining our operations and improving productivity and continue to support lower head count and improve throughput across our franchise, helping to offset the ongoing inflationary pressures that persist in the market.  Turning to Page 13. Second quarter average, HFI loans equated to $8 billion, relatively stable with first quarter levels. On a period ending basis, HFI loans grew versus the first quarter of 2022 by $161 million, driven by improving commercial loan growth, particularly in commercial real estate lending mortgages warehouse lending and the retention of one to four family mortgages originated by PrimeLending. We expect that loan growth will slow in the second half of the year as one to four family retention levels decline and commercial lending activity continues to contract.  Currently, we are expecting full year average, loan growth of the zero to 2% during ‘23, excluding mortgage warehouse lending and any retained mortgages from PrimeLending.  Turning to Page 14. For the first period in a number of quarters, we did see NPAs move slightly higher to $42 million during the second quarter. The change was driven largely by a single credit downgrade in the second quarter. This credit has subsequently paid off early in July.  Overall, credit quality has remained solid through the second quarter, and while we do not see any prevailing trends that causes outsized concern in our portfolio, we are watching the portfolio closely, as higher interest rates, potentially lower utilization rates in certain segments of commercial real estate, and an expected slowdown on an economic activity that have a negative impact on our clients and our portfolio. As is shown in the graph at the bottom right of the page, the allowance for credit loss coverage at the bank ended in the second quarter at 1.36%, including mortgage warehouse lending. Turning to Page 15, as we move into the third quarter of ‘23, there continues to be a lot of uncertainty in the market regarding interest rates, inflation and the overall health of the economy. We're pleased with the work that our team has delivered to position our company for times like these, and our teammates across our franchise remain focused on delivering great customer service to our clients, attracting new customers to our franchise, supporting the communities where we serve, maintaining a moderate risk profile, and delivering long-term shareholder value.  As is noted in the table, our current outlook for 2023 reflects our current assessment of the economy and the markets where we participate. Further, as the market changes and we adjust our business to respond, we will provide updates to our outlook on future quarterly calls.  Operator, that concludes our prepared comments. And we'll turn the call back to you for the Q&A section of the call. 
Operator: Thank you. [Operator Instructions]. Your first question comes from Thomas Wendler of Stephens, Inc. Please go ahead. 
Thomas Wendler : Hey! Good morning, everyone. 
Jeremy Ford: Morning. 
William Furr: Morning. 
Thomas Wendler : I just wanted to start off with the interest-bearing beta expectations. So you said the marginal interest-bearing deposit beta expectations are for 75% to 100% beta on any additional federal fund increases. Is this where you expect the cumulative beta to get? And then also, that seems like a step down from what we saw for a beta in 2Q. Can you maybe give us an idea of how you plan on managing the tail-end risk for interest-bearing deposit costs? 
William Furr: Sure, this is Will. During the second quarter, coming off of the bank failures and some of the activities that occurred late in the first quarter, we saw a substantial increase in kind of overall demand for higher rates from our customers and it really awakened the market I think to higher rates.  As a result, during the quarter, second quarter, we increased rates pretty substantially on our top-tier products. We moved a CD – we launched a CD special that had a rate in excess of 5%, all really out of an abundance of caution to stabilize any otherwise runoff that we might have otherwise been seeing in our deposit base.  Outside of tax activity during the second quarter, we believe we were able to stabilize that. So we did take some pronounced and, I'd say larger-than-expected moves in the second quarter just to again, out of an abundance of caution, mitigate any potential runoff. On a go-forward basis, we do think the market remains competitive. We think we're in a competitive position from a rates perspective across our product and pricing suite. As a result, we would expect to pass through the vast majority of any future Fed rate increases to our clients and that's where the 75% to 100% comes from. But to your point, the second quarter was higher as we reset to what was a changing marketplace after the bank failures. 
Thomas Wendler : That was great, color. Thank you. And just kind of sticking with deposits, it looks like you added some broker deposits during the quarter. Can you give us an idea of the rate and term on those? 
William Furr: Approximately, they range but they are 5% to 510 basis points and the term was 90 days to 180 days – 90 to 180 day terms. 
Thomas Wendler : All right, that's all my questions. Thanks, guys. 
Jeremy Ford: Thanks.
Operator: Our next question comes from the line of Stephen Scouten of Piper Sandler. Please go ahead. 
Stephen Scouten: Hey, good morning, everyone. I appreciate it. So I'm wondering the improved guide on the broker-dealer, if you could give some more color there on what you're seeing. And then in particular, I would think you guys have some interesting visibility into broker-dealer deposit balances for your customers. Just kind of curious if you're seeing stability there and how you feel about the strength of those deposits moving forward. 
Jeremy Ford: Will, you want to start off and I'll...
William Furr: Yes. So I think what we're seeing from an outlook perspective, from a revenue perspective, we're obviously seeing strength in our sweep revenues as Jeremy's mentioned over time and during the call today. We – higher rates have historically benefited the overall sweep revenues. We do think that no different than the deposit discussion we just had with the prior question, that we'll be passing along the vast majority of any future rate increases to customers from an overall sweep deposit perspective. But nonetheless, we are seeing – we've seen an improvement there. We're also seeing strength as we continue to invest in our business around fixed incomes, improving public finance services. We expect to have a stronger second half as they historically do and structured finance, notwithstanding the mark that I mentioned in my prepared comments is also having a better year than they've had here of recent. So that's where we start to see the strength in kind of the fee income.  From a deposit level perspective, we are seeing customers as we are in our core deposit base, searching for higher yields. So we've got a suite of products from FDIC insured products to Money Market Mutual Funds to ladder treasuries and the likes. So we've got a series of options those customers can pursue. And we are seeing customers based on their risk appetite and their appetite for term products move into some of those higher yielding products. So move, I'd say excess cash out of their brokerage account and into, I'd say higher yielding, more term oriented products in certain cases, just as we're seeing from a deposit base perspective.  So similar activity from a deposit base at the Hilltop Securities as we're seeing in the core bank franchise.
Stephen Scouten: Okay, extremely helpful. Thank you. And I guess, as you think about the margin from here, I mean, you noted you think there could be more compression third quarter, fourth quarter on both the margin and NII. Can you give us a feel for what you think the magnitude of that might be, maybe compared to what we saw this quarter? And then with non-interest bearing deposits down to around 31%, do you have any feel for where the floor of that could be or if you see stability there? 
William Furr: Yes, so I'll answer those in reverse. So from a non-interest bearing perspective, while your 31% is correct, we generally think about it ex-brokered, because again, we don't fully anticipate to hold those brokers for long periods of time past their maturity unless something changes in the marketplace. So we look at the more normal level here, closer to 33%.  Historically, pre-pandemic we would have been 31% to 32% as a percent NIB. The total we expect will revert to that. We may sink a little lower in the short run, but our expectation will be in that 30% to 32% non-interest bearing over time as the market continues to settle out.  As it relates to net interest income and NIM, I think if we see, the way we're thinking about it, if we see 25 basis points of an increase for example, we would expect NIM potentially would decline somewhere between 7 and 10 basis points on a quarterly basis for each incremental 25.  From a net interest income perspective, the variability you're seeing here, we peaked in the third quarter like we would have expected we would, had pretty stable in the fourth quarter. We do expect NII will continue to decline just as, again, if rates move higher and we have a 75 to 100 basis point deposit beta, obviously our loan beta won't be able to keep up with that from an overall NII perspective. So we would expect to see NII. Again, drift lower. I wouldn't call it a step function lower, but I'd say drift lower through the back half of the year. 
Stephen Scouten: Great. Extremely helpful, color. And then just last thing for me I guess is, you guys were already weighted to that S7 Moody scenario. So I'm curious, was that just that their scenario dynamics there changed so significantly that that drove some of the reserve increase, or did you guys weight it differently or are there some qualitative factors? What's kind of the mechanics of that increase in the reserve? And like you noted, without the charge offs as of yet. 
William Furr: Yes, so our – we don't actually weight scenarios, so we use the S7 on the purest basis. We do a pretty, I'd say onerous evaluation of a series of economic scenarios and management goes through and selects one that we believe best reflects where we think the market is and where we think it's going to go over the coming quarters and years, and we believe the S7 reflected that all in.  Our view continues to be with the Federal Reserve moving as fast and as far as it has. The economy being a big shift and as it starts to turn and we are seeing some signs of a downshift. It'll be difficult to avert a recession and so our view is that that recession scenario best reflects again what our view of where the overall economy is going.  As we've noted since CECL came out, allowance is going to be volatile. It'll be principally volatile along this macroeconomic scenario. We'll continue to evaluate it each quarter as we do, but right now we feel like we're adequately and appropriately reserved for the environment we believe is forthcoming. 
Stephen Scouten: Got it. So it sounds like most of those changes came just as Moody's worsened about S7 scenario then, is that fair to say? 
William Furr: I mean if you look at our chart, 7.7 million of the build was specifically related to macroeconomic and that's pretty direct drive quantitative assessment. So again, over half of the build was driven by that change. 
Stephen Scouten: Perfect. Thank you so much. Appreciate the color, guys. 
William Furr: Sure. 
Operator: Our next question comes from the line of Woody Lay of KBW. Please go ahead. 
Woody Lay : Hey! Good morning, guys. 
Jeremy Ford: Good morning. 
Woody Lay : Just wanted to follow-up on the deposit cost commentary. You noted you raised pretty aggressively during the quarter. Just any color on when those raises occurred? 
William Furr: Most of the rate increases happened in the month of April and to some extent in May. Again, we were – we went into a heavy evaluation period when the bank failure started to occur, bank run started to occur, and we also saw a corresponding spike in requests from our customers. Again, we bifurcated. There was some concern about safety and soundness in the banking sector. We really didn't see or feel a lot of that beyond maybe the first week after the bank failures, but we did see, again what I'd call an awaken.  The customer focused on overall higher yields. So we moved pretty aggressively in April and then again there toward the end of April and early May with another set of interest bearing to product changes, just to ensure, again, we were well positioned against the market as it was moving pretty aggressively.  So largely, the cost of interest bearing deposits, 284 reflect I'd say the vast majority of those changes on a full quarter average basis. But they'll be as I said in my comments, some drift higher just because it wasn't a perfect full quarter. 
Woody Lay : Got it. That's helpful. And now I wanted to switch over to credit and the breakout of office. I appreciate the breakout that you provided. Any commentary you can provide on just the markets you're most exposed to within that investor office portfolio? 
William Furr: Our exposure is really across the footprint, but it's going to be in our larger metro areas. So Dallas, Austin are probably the largest two, then Houston after that. So, I mean, it's the office portfolio, while not what I wouldn't say, I would not characterize it as kind of downtown or urban if you will, but I would call it tangentially related to the larger metro areas where we serve clients. 
Woody Lay : And is it mostly low-rise buildings? Is that fair to assume? 
William Furr: I'd say mid and low-rise, but we're not out financing a lot of high-rise buildings. 
Woody Lay : Got it. And then last for me, I just wanted to touch on buybacks. You know it's been a minute since you've been aggressive on the buybacks. Just any thoughts on the outlook for here? 
Jeremy Ford: This is Jeremy. I'd say that it's just not really compelling right now with the macroeconomic environment and other alternative opportunities, and really where our value sits is still higher than where we've transacted on the prior tenders. But if it should dip materially, then we certainly would consider it. 
Woody Lay : Got it. All right, that’s for me. Thanks guys. 
Jeremy Ford: Thank you. 
Operator: Your next question comes from the line of Carl Gatenio of Raymond James & Associates. Please go ahead. 
Carl Gatenio: Hi! Good morning. From me just a quick and easy one, another question on deposits here. You talked about the positive behaviors and client requesting higher rates, as well as being more competitive relative to peers. I just wanted to ask if you could perhaps describe perhaps what you're seeing in terms of the competitive environment in your market for deposit pricing relative to 2Q. Are you seeing more or less irrational behaviors from competitors and how would you describe that? 
William Furr: I don't think we're seeing any more irrational behaviors. I think the competitive landscape, notwithstanding some additional shocks has stabilized. I mean it's aggressive customer banks and others are looking for deposits and I think customers have in their – at least intellectually started to move toward a view that 4% and 5% is an earnings rate that they are aspiring to achieve.  So, but from a competitive perspective, we saw some things early immediately after the bank turmoil occurred that seemed peculiar, but I'd say largely speaking, while there's certainly some competitors out there that have higher rates than we do, I'd say generally speaking, it's pretty rational and it's certainly stabilized here over the last three to six weeks. 
Carl Gatenio: Okay, thank you for that. And moving on to the broker-dealer business, we saw a pretty nice increase in the pre-tax margin there. Would you talk about that moving forward or is it sort of seasonality going on? 
Jeremy Ford: Well, I think as Will said earlier, the broker-dealer is having a strong year and really had a strong last 12 months. And with the sweep deposits and the rate that we're getting there and the fact that that's a higher margin kind of bedrock to the results, I would expect the second half of the year to be similar to the first, albeit I'd probably say the margin is – that 16% pre-tax margin is, would be on the high side. 
Carl Gatenio: All right, thank you. I have one last one on the mortgage banking space. You took a pretty significant action over the past few quarters, the right size costs at prime lending. With the – I guess with the updated outlook for lower origination, I guess would we expect additional measures or do you think most of the initiatives have already been completed? 
William Furr: I would say as we evaluate that business, obviously we're not pleased with the loss that currently is being kind of managed through. So it's our view, we're going to continue to look in every corner to look for opportunities to streamline that business and right size it for the market.  However, as we've said previously, we're committed to the mortgage business. We're also absolutely focused on making sure we're doing things that position the franchise for long-term success. So while it is important to us to continue to focus on working towards profitability at a minimum breakeven results, we're going to continue to take steps to do things we think are prudent to improve productivity, with a focus on helping position the franchise for long-term success when this market does turn. 
Carl Gatenio: All right, thank you. Well, that is all for me. Thank you very much. 
Jeremy Ford: Thank you. 
William Furr: Thank you. 
Operator: And ladies and gentlemen, there are no further questions at this time. And this concludes our conference call for today. We thank you for participating. We ask you that you disconnect your lines.